Operator: Good day and welcome to the Koppers Holdings Inc First Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Michael Snyder. Please go ahead, sir.
Michael Snyder: Thanks Brian and good morning everyone. Welcome to our first quarter earnings conference call. My name is Mike Snyder and I’m the Director of Investor Relations for Koppers. Each of you should have received a copy of our press release. If you haven’t, one is available on our website or you can call Rose Hilinski at 412-227-2444 and we can either fax or e-mail you a copy. I’d also like to remind you that as indicated in our earnings release this morning, we have posted materials to our Investor Relations website that will be referenced in today's call. Before we get started, I would like to remind all of you that certain comments made during this conference call may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be affected by certain risks and uncertainties, including risks described in the cautionary statement included in our press release and in the company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company’s comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The company’s actual results could differ materially from such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. References may also be made today to certain non-GAAP financial measures. The company has provided with its press release, which is available on our website, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. I’m joined on this morning’s call by Leroy Ball, President and CEO of Koppers; and Mike Zugay, our Chief Financial Officer. At this time, I’d like to turn over the call to Leroy Ball. Leroy?
Leroy Ball: Thank you Mike, and welcome everyone to our 2015 first quarter conference call. I’d like to spend a couple of minutes walking through some of the highlights since our last conference call before handing things over to Mike Zugay to review the first quarter comparative financial performance. First, I couldn’t be happier about our progress on our first quarter cash generation initiatives that allowed us to pay down debt by $35 million and what is historically a weaker cash flow quarter for us. To put this in perspective, our first quarter average cash flow from operations for the last three years was a negative operating cash flow of $8 million. This quarter alone, we generated positive operating cash flow of $20 million. We did that through a reduction in working capital of $6 million from year-end and that might not sound that impressive into hear the working capital actually increased on average for each of the three previous years first quarters by $25 million on average. And we’re also were able to take advantage of our new legal structure to bring back a significant amount of cash from overseas and apply to debt reduction. In fact, our net cash on hand decreased by nearly 50% to $26 million as of the end of the first quarter of 2015 from $51 million at year end 2014. We’re off to a good start to reach our goal of a minimum debt pay down of $100 million for 2015. Second highlight I’d like to mention is the record sales and EBITDA performance of our railroad and utility products and services business. Organic sales growth in the core North American rail related business year-over-year was 29%. Our EBITDA almost doubled in this year’s first quarter compared to 2014. As expected, we are continuing to see the trend of untreated tie procurement pick up year-over-year, which is driving much of the topline growth. Margin improvement can be attributed to the non-recurrence of certain one-time cost related to the Ashcroft treating plant acquisition in January of 2014. In addition to realizing the benefits associated with the operations excellence initiative that was started and mostly expensed in the first quarter of 2014. Now sticking with our RUPS segment for a moment, a third highlight in the early part of this year was our recent announcement of two very important contract extensions with the BNSF and CSX railroads. We have been in discussions with both railroads for sometime about extending our supply contracts with them from their 2017 expiration date to sometime beyond 2020. A key elements of the CSX extension involved reducing our treating network to service them from three plants to two. As a result, we will be closing our Green Spring, West Virginia facility by the end of this year and rerouting crosstie volumes to our other two facilities serving the CSX, which will help to produce our environmental footprint and take out a portion of fixed costs. For the BNSF, we will be spending some capital to add switch ties orders over the next couple of years, but the end result is a net positive in terms of additional sales volumes and greater operating efficiency. A one final piece of news I’d like to highlight actually involves one of our lines of business in the CM&C segment that has been under significant pressure over the past year, phthalic anhydride business. During the first quarter through market information it became apparent that one of the three companies serving the U.S. merchant market will exit the business in the second half of 2015 and that will result and that’s becoming one of only two suppliers to the U.S. market, which will tighten supply and opened up some opportunities to pick-up sales volumes beginning in the later half of this year. Now, it’s still too early, so we’re not really prepared to talk about what this might mean long-term for that business. But it is the first significant piece of good news that we’ve had in the CMC North American markets for sometime and we’re exciting to complete for new business that hasn’t really been opened to us as a supplier in the past. I’ll now turn it over to Mike Zugay to provide an overview of the results in more detail and after he’s finished, I’ll update you further on the progress and our initiatives and our outlook for the rest of the year. Mike?
Mike Zugay: Thanks, Leroy. As you can see on Slide 2, consolidated revenues for Q1 were $398 million, which was an increase of $66 million or 20% over the prior year. This was driven by $88 million of new revenue from acquisitions, net of divestitures and $23 million increase in our railroad business. These increases were partially offsets by a net $44 million reduction in sales for CM&C, which was driven by reduced product pricing as a result of lower oil prices. Moving to Slide 3, first quarter adjusted EBITDA of $27 million was higher than that last year’s first quarter amount of $25 million due to $13 million benefit from acquisitions again net of divestitures and $7 million increase for RUPS as that segment had a record quarter for sales on adjusted EBITDA. As Leroy mentioned, the improvement in margins and profitability for RUPS was driven by higher sales volumes for crossties due to restocking and increased demand, the absence of acquisition cost for Ashcroft in early 2014, and the realization of benefits from the margin improvement initiative from an expense standpoint that was expensed in the first quarter of last year. These increases were partially offset by a reduction in profitability for CM&C of $70 million, once again driven by lower oil prices. Now, I’m going to discuss several items that are not referenced in our slide presentation. Adjusted net income and adjusted EPS for the first quarter were $600,000 and $0.03 positive per share, compared to $6.6 million and $0.32 for 2014. The first quarter adjusted net income excludes approximately $4 million of pre-tax charges related to impairment and plant closure costs and non-cash LIFO costs, which were partially offset by the gain on the sale of our North American utility business, which occurred this past January. Our first quarter results were also negatively impacted by about $2 million of loss profit as a result of a CM&C plant outage this quarter at a plant in North America. Our effective tax rate was 12% and our normalized tax rate for the year is estimated to be around 35% as we began to realize the benefits of the tax restructuring project that became effective at the beginning of this year. The required one-time payment to do that of $16 million, which was previously discussed was made in this first quarter of 2015. We’re also able to repatriate excess cash from overseas during the first quarter which nicely contributed to the very improved $35 million debt pay down we achieved in Q1. Cash provided from operations was $20 million compared to cash used in operations of $14 million for the same quarter last year. This substantial improvement was due mainly to cash generated from working capital as Leroy mentioned of a positive $6 million compared to cash used for working capital of $19 million in the same quarter of last year. Our first quarter 2015 CapEx expenditures were $7 million compared to a high number of $15 million in the first quarter of 2014 and this was unusually high than due to the construction expenditures for the KJCC joint venture in China in early 2014. As of March 31, we had approximately $176 million borrowed on our $500 million short-term revolver, $285 million outstanding on our term loan, $300 million in existing bonds and $57 million of loans in China and these total amounts are $35 million lower than their collective balances at the end of last year. As of March 31, the interest rate on our revolver and term loans was 3.6% and our composite borrowing rate in total was 5.3%. Our leverage ratio for covenant purposes at March 31 of this year was 4.86, which was below the required ratio of 5.25. As a remainder, our goal with this particular leverage ratio is to reduce it to approximately 3 times within the next two years. Also, at year-end, our fixed-charge ratio was 1.52 as compared to our covenant of 1.1. In addition to that as mentioned in our last call, we continue to monitor the high-yield bond market and look for another opportunity later this year to refinance our $300 million of 7 and 7.8 interest rate notes, which are due in 2019. Now, I’d like to turn the call back over to Leroy for a further update on our businesses. Leroy?
Leroy Ball: Thanks Mike. Now, I’d like to give you an update on each of the businesses and our expectations for the reminder of the year in each segment. First the railroad utility products and services business as expected had a very strong quarter and in fact as I mentioned in my opening comments had a record quarter for sales and EBITDA. If you turn to Page 5 of the slide presentation, you’ll see that we are maintaining our 2015 guidance for this segment exactly as we presented it back in February of this year. Sales volumes for both untreated and treated crossties were up by 57% and 25% respectively compared to the first quarter of 2014, which contributed significantly to both the top and bottom line growth in this business segment in the quarter. Treating services were down however compared to prior year by approximately 15% as we don’t have as much tie inventory to treat with the draw down on untreated inventory over the past year. Pricing for treatment services was flat while pricing for treated and untreated crossties averaged an increase of somewhere between 10% and 20% compared to prior year and was reflective of the higher cost of untreated crossties. Untreated tie procurement is expected to remain strong throughout 2015, but the gap between procurement numbers for this year and last will narrow as the year goes on as the pickup in sales begin to kick in during the second half of 2014, the same will be true for pricing. Treatment services will likely lag last year for at least the next two quarters as inventories are increased, but overall we still feel pretty good about realizing the overall $20 million increase in EBITDA and the RUPS segment in 2015. The fact that we have $7.6 million of that expected increase already effectively in the bank at the end of the first quarter gives me confidence in achieving our previously communicated guidance for the year in this segment. And why our crosstie procurement is still risk, we’ve viewed as much less of a threat to a result for this year after a third of the year’s past. What is emerging as a potentially larger risk at this point is any pullback and treatment from the Class 1 given some of the risks they see around their volumes related to lower coal shipments. We feel pretty confident then any possible pullback could be absorbed by pent up commercial demand and at this point see no reason to alter our guidance. In February, we communicated that we taught on newly acquired businesses combined with our rail joint business could provide approximately $7 million of incremental EBITDA in 2015. As we enter the middle of the second quarter, we still feel pretty good about that projection as those businesses finished the first quarter already over a quarter towards that goal. Sales volumes remain healthy in all of those business lines and are expected to remain strong throughout the reminder of 2015, which will help to drive the bottom-line performance. We also continue to focus on margin enhancement for this business as I mentioned previously as part of the recently announced CSX contract renewal, we agreed to close our treating plant in Green Spring, West Virginia, which will reduce cost and improved capacity utilization at the other two facilities that will continue to service the CSX. Also as expected, we experienced during the quarter a 70:30 treatment ratio between value added dual-treated ties and regularly treated creosote crossties with the three new borate systems coming online during the first quarter. This is the treatment ratio we expect to continue moving forward, which will have a beneficial impact on margins. Now, these items along with the full-year benefits related to our Operations Excellence project that was implemented in 2014 and the realization of synergies from the Osmose acquisition that are expected to reduce the overhead allocation for this business should result in around $7 million of incremental EBITDA in 2015 and we’re currently outpaced to meet that number. Now moving onto Slide 6 on Performance Chemicals; as we look at the global markets in which we participate in that segment, we continue to believe that 2015 is poised to be a strong year for that business as macro indicators are pointing towards positive trends in home repair and remodeling, which tends to drive demand for our products. In fact, March of 2015 represented the sixth consecutive month of year-over-year sales growth of existing home sales in the U.S. which marches annual increase of 10.4% representing the highest annual increase since August of 2013. Existing home sales traditionally makeup approximately 90% of the housing market and have historically driven repair and remodeling spending. North American sales in the Performance Chemicals segment made up approximately two thirds of overall Performance Chemicals segment sales in the first quarter, which is in line with the historical geographic mix. Now as planned during the quarter, we began converting the Canadian market from the traditional soluble copper products to our patented micronized copper products with our MicroShades light brown color. We dealt with some startup issues at a few facilities, but have put that behind as we’ve entered the second quarter and expect to see nice results from this product line as the year goes on. Lower copper pricing during the quarter provided a modest benefit for the smaller portion of our business that is unhedged and other raw material on operating costs were pretty much in line with our expectations. Our international business for Performance Chemicals also turned in a seasonally strong quarter and local currency and other than the strong dollar we don’t see any fundamental issues affecting demand for the year. I mentioned on our prior call that we were seeing nice growth in market share in each of our geographic markets and as still the case. As might be expected though, we are seeing a more aggressive competitive reaction to last business. As a result, we’re backing off slightly, the expected EBITDA contribution is expected from growing our market share in Performance Chemicals from the $8 million we targeted on our February call to $6 million. As a result our Performance Chemicals segment should now improve by approximately $50 million to $64 million for the full year of 2015. All other assumptions for this segment remain unchanged. Now turning to Slide 7, the story for Carbon Materials and Chemicals haven’t changed much since last quarter, but our expectations for the year have slightly improved. Oil continues to weigh heavily on the year-to-year comparison and if we saw an approximate $25 million impact on sales in the first quarter for the products that are either directly or indirectly tied to the price of oil that represented over a 30% reduction in pricing from the first quarter of 2014 to 2015. $6 million of that $25 million impact was from lower phthalic anhydride pricing that we saw a limited raw material recovery from. Approximately two-thirds of $13 million of the remaining $19 million price drop related to carbon black feedstock and naphthalene was recouped through the lower coal tar costs, which left the net effect on profitability related to these products at approximately $6 million impact on the quarter plus the $6 million phthalic impact for a totaled of $12 million. And we continue to expect the impact from oil to result a significant reduction of EBITDA in 2015, but we have narrowed that range to be between $30 million and $35 million, if crude oil averages in the neighborhood of $50 a barrel. I know that it’s recently moved up to around $60, but we’re not yet ready to change our assumption over the remainder of the year and instead continue to hold a conservative view. Now the stronger dollar has also provided some headwind and then we have increased our estimate, potential negative impact for the year to be between $5 million and $8 million based upon average exchange rates experienced in 2015 compared to the averages in 2014. The KMG creosote distribution business that we acquired in January of this year have thus far met expectations and we continue to expect a minimum contribution of EBITDA of $5 million through the additional volumes that we will be able to move in North America. Our assumptions around margin improvement has changed for the worse as we’re projecting for Nippon Steel Chemical to not bring their new facility up until at least the third quarter of this year as they continue to work towards getting their environmental permits in order to operate. In addition, we have included the $2 million impact from our unplanned outage at Stickney that occurred during the first quarter as a net reduction of our margin improvement activities. Finally, on the plus side of ledger, we have now built in a $3 million improvement expectation related to volume and capacity utilization increases in phthalic market that I referenced earlier. So as outlined on Slide 7 that all totals up to a net EBITDA reduction of between $20 million and $30 million in 2015, which we put adjusted EBITDA for CM&C between $17 million and $27 million, which is slightly above where we had projected it to be back in February. Sales have been and will continue to be highly variable based up on the price of oil and the strength of U.S. dollar. We’re continuing to work on a number of things behind the scenes to remedy the CM&C situation across the globe. Not really prudent for me to get into specific details at this point on some of those actions, but you guys expect to hear more as the year goes on related to several of the structural changes we’re planning to make in the CM&C segment, the continued shrinking our footprint and improving the operating model. I mentioned on the previous call that you could see this business being only a third of our top line and just a couple of years and I still believe that’s highly likely given some of the changes we’re planning to make. CM&C actually only made up 40% of our first quarter’s sales and we’ll probably remain in the 40% to 45% range of total sales throughout the remainder of the year. Now to reiterate our expectations for sales in the last call, if you go to Slide 8, you will see that we can expect an increase from our Railroad and Utility Products and Services segment of approximately $50 million, which – full year sales for that segment at around the $650 million level. An increase from our Performance Chemicals segment of approximately $235 million and a net decline from our CMC business of approximately $120 million, which will put CMC’s sales at around $710 million and represent an overall sales increase of $165 million for Koppers in total, adding that to our 2014 sales of $1.55 billion would take 2015 to be around $1.72 billion on the top line. Now our guidance for EBITDA as shown on Page – on Slide 9 continues to include an increase from RUPS of about $20 million, an increase from Performance Chemicals of around $50 million and a decline in CM&C between $20 million and $30 million. We have changed our expectations of corporate expenses slightly from an approximate $10 million reduction to $9 million due to the non-recurrence of due diligence and integration related expenses that were incurred on the Ashcroft and Osmose acquisitions in 2014. Now the change from last quarter to this quarter on our corporate benefit is due to baking in some actual foreign exchange losses related to the establishment of the inner company loan’s associated with the recent legal reorganization that were recognized during the first quarter of 2015 in our corporate expense category. So adding those amounts to our 2014 adjusted EBITDA of $116 million would continue to provide for an EBITDA range for 2015 of between $165 million and $175 million, which remains in line with our previously communicated guidance. We’re reducing our estimated depreciation and amortization from $65 million to $63 million while slightly increasing our previously communicated expectation of interest expense from $48 million to $50 million, which takes into account a slight increase in interest rates throughout the year. Depending upon the geographic mix of earnings, we expect our effective tax rate to be between 30% and 35%, but have modeled conservatively at 35%. Since the changes in depreciation and interest expense offset each other, our expectations for 2015 adjusted EPS would remain at the range communicated in February of $1.60 to $1.90 diluted earnings per share. And we are now one quarter smarter about 2015 and feel pretty good about where things are heading while I won’t give specific quarterly guidance. I will say at least that we expect the third quarter of this year to be our strongest. Second quarter expected to be our next strongest quarter followed by the fourth quarter and finally our first. So with that I would now like to open it up to questions.
Operator: Thank you. [Operator Instructions] And we will now take our first question from Ivan Marcuse with KeyBanc Capital Markets.
Leroy Ball: Hi, Ivan.
Ivan Marcuse: Hi, how are doing? Thanks for taking my questions.
Leroy Ball: Good.
Ivan Marcuse: And you may have – I might have missed it, you put out a lot of numbers pretty quickly, the working capital that was a good source of cash at this quarter. I think that you said last quarter that you’re sort of expecting to generate $40 million, $45 million at the working capital. Is it still the – is that still the goal or do you think now where you are in the first quarter that could be even better?
Leroy Ball: Yes, that’s the remainder part – in Q2 and Q3 that’s our largest earnings quarters. So we expect a lot of the working capital increase and our ability to pay down debt to be focused on increased earnings in those two quarters, more than our focus in Q1.
Mike Zugay: Ivan, I think that the $40 million reduction target that you were talking about, we haven’t changed our view on that. I think that $40 million we still believe is achievable and that’s our target for the year. So from that standpoint, we haven’t altered our expectations or guidance.
Ivan Marcuse: Okay. And just to be clear, when we talk about $40 million – are you just talk about network and capital rate…
Mike Zugay: That’s correct, yes.
Ivan Marcuse: When we get to the end of the year, networking capital should be hopefully $40 million positive on the cash flow statement?
Mike Zugay: That’s correct.
Leroy Ball: That’s correct.
Ivan Marcuse: Okay, great. And then if you look at Performance Chemicals sort of I guess this is our first year going through this business. I understand that you know what’s the biggest quarter from a seasonality is? The second quarter is like the home depos and the lows of the world build inventory going to the season or is it more of the third quarter? How should we think about the cadence of EBITDA improvement or EBITDA contribution from Performance Chemicals?
Leroy Ball: We are actually – we’re expecting the second and third quarters to look pretty similar and probably their first and fourth to look pretty similar. That’s – what certainly the recent history has indicated and that’s how we’ve modeled it out as we look at the business for this year. And so first and fourth are pretty similar and second and third are pretty similar.
Ivan Marcuse: Great, and then [indiscernible] you mentioned and it sounds like its de minimus at this point, a couple of million. But what's driving the competitive nature? Or why is it being competitive if you see volumes rising…
Leroy Ball: Well, I think because we – I think I indicated on the last quarter’s call, we’ve actually been able to pick up some market share. Now, we’ve not actively gone about again, going in and trying to take share through reducing price. We’ve run into some situations where we quite frankly been able to win some business just on our technology and service capabilities and things like that. As in that sort of situation, you typically run into at some point in time, right where competitive reaction is going to comeback as competitors are starting to lose share. So we are seeing a little more aggressiveness in the market as some of the competition has loss on business. Despite that fact that demand overall was growing. And so that’s all we are trying to do is hedge our best a little bit based upon some of the stuff that we are seeing out there.
Ivan Marcuse: Great. And last question, I will get in the queue. In terms of coal tar – for listen to my steel analyst is sounds like there are this steel industries obviously in the U.S. and Europe for most part has not in great shape at this point. So how is that – is that impacting – positive impacting your ability to get coal tar supply that forcing pricing up as capacity comes out or as you know to date not really much material changing, if you could comment on the regions as the coal tar cost availability.
Leroy Ball: Yes, yes, it’s a good question and a good observation. Yes, there has with steel production are being taken out of the industry here in the U.S. so far this year. That has resulted in tightening of supply. We talked for sometime now about how the North American market is a short market for coal tars that is. This is only made it shorter. It is a supply demand driven market from a pricing standpoint. So the fact to the matter is we have our volumes under contracts for right now. And the volumes that have been taken out, have not affected us directly from a supply standpoint. Now as things move forward, if volumes don’t comeback, it could create more competitive environment for the remaining coal tar. For that’s also why we have been heading down the path of really opening up our distribution network to be able to bring in coal tar from overseas to provide a relief about to provide some competition for the short coal tar market here in North America. And so we are continuing to head down that path. We bought the KMG creosote distribution business which has package in the Gulf region. We are looking at other opportunities down there to bring in coal tar from overseas to help elevate some of that in fact, we actually have that in our plans for this year and expect to execute upon that and that’s an part of our strategy here, certainly as we’ve seen the evolving steel market. 
Ivan Marcuse: Okay. So still – I guess if I might – bit of accrued situation and it is taking, but right now you’re managing it fine? 
Leroy Ball: That’s correct. 
Ivan Marcuse: Great, thank you. 
Leroy Ball: You’re welcome. 
Operator: [Operator Instructions] We’ll now take our next question from Bill Hoffmann with RBC Capital Markets. 
Bill Hoffmann: Hi Ball. 
Leroy Ball: Hi Bill 
Operator: Hi Mr. Hoffmann, please check your mute function. 
Bill Hoffmann: Sorry about that. I wonder if you talk a little bit about the salix market, where obviously seeing price is come back up a little bit, certainly with oil, but it does seems like are those moving back-up. Can you just talk a little bit about the mature seeing in the market right now from pricing standpoint? 
Leroy Ball: Yes, I mean we have seen actually Ortho move up a little bit here in March compared to January and February. The April number hasn’t been released yet. We’re expecting that at any day now and we are expecting a slight increase in April as well, but that hasn’t been confirmed. So we are seeing actually the trend in Ortho moving up with some of the increase that we’ve seen in oil. So again, we feel little better about the salix business although – it’s still obviously, at these levels is going to remain a little bit of drag on the business. The bigger and better things for us we think is the news that we have one of the three company serving the merchant market here, essentially making a decision to exit the business. And so that will provide us some volume gains for us we believe and allow us to increase the capacity utilization is that market starts returning from a pricing standpoint. We can see some significant benefits coming through and drop into the bottom-line. So I don’t want to overplay that within my prepared comments, but we are pretty excited about that. 
Bill Hoffmann: Thanks. And then just with regards to margins in that business, my understanding is that your coal tar cost do just, to what’s going on the market. Is that normal, is that adjustment happened in the first quarter or the coal tar….
Leroy Ball: Yes, so our coal tar markets or our coal tar cost just much more rapidly in Europe and in China and in North America not so much. I would say North America because it is so short that that the pricing on coal tar has remained relatively constant if – in fact has moved up slightly over the past couple of years. The trend has been more in an upwards direction in North America as coal tar supply has tightened. In Europe and in China, you see much more movement as oil moved because there’s an abundance of coal tar available there. So as oil is declining and some of the demand for some of those end product are also declining then it tends to put pressure on the cost of the raw material and we see that’s reflected and I actually mentioned that in my prepared comments. I think that that we saw about $19 million pricing reduction in our carbon black feedstock and naphthalene pricing in the first quarter compared to last year’s first quarter, while we saw probably around $13 million drop in coal tar costs associated with those product segments. And most of that change is in the European and in China regions.
Bill Hoffmann: Great, those exactly [indiscernible] thank you. And then the KJCC JV, can you just talk about profitability of that and operating – and how it’s producing at this point?
Leroy Ball: Yes, KJCC operation in today’s environment is not doing that great. It was built to serve the Nippon’s field needle coke and carbon black plans and it really wasn’t that up. It wasn’t – let’s put this way, if we were building an aluminium industry, we probably wouldn’t have put it, where we put it. So it’s not in a great spot and with pricing over there for the naphthalene and carbon black feedstock being down. It’s not in a profitable situation at this point. We need either the oil price recovery or Nippon to get their plant up and running for us to begin meeting the profit expectations that where – that plant was built off of. And with what we have heard from Nippon at this point, they are still working on trying to get their environmental permits in place in order to get up and operating and they’re still dealing with some issues with the local Chinese governments to make that happen.
Bill Hoffmann: Thank you. And then last question from the capital spending this year, we’ve got sort of $45 million number, is that still expected target or …?
Leroy Ball: It’s still the number.
Mike Zugay: Yes, we were low in Q1, but we expect to pickup that spending as we go and the forecast for 2015 does not remain changed, $45 million is our target.
Bill Hoffmann: Thank you very much for your help.
Leroy Ball: Thank you.
Operator: We will now take our next question from Laurence Alexander with Jeffries.
Unidentified Analyst : Hey guys, this is Daniel coming for Lawrence.
Leroy Ball: Hi, Dan.
Mike Zugay: Hi, Dan.
Unidentified Analyst: Just a follow-up question from before about you said your opening distribution touched on for coal tar and ship them overseas.
Leroy Ball: Yes, yes.
Unidentified Analyst : Is that significantly more expensive or something that’s only like kind of like I mean its come for this now because it’s so costly or is there a big difference?
Mike Zugay: Well, there is a huge difference today between the cost of European coal tar and coal tar in North America. Again, with oil being down and our ability to leverage on a long market, there is a significant advantage in the overseas coal tar. So in that sort of situation, we want to be able to take advantage of it. If oil moves back up and goes back up to levels of the $90 to $100 and the coal tar correspondingly moves up in Europe, to go along with that, it might not be in the track with that point in time. But certainly and today, sort of market does provide a pretty nice alternative that we felt.
Unidentified Analyst: Well, I guess when particularly granted it, so transportation cost can be costly and situations with one, with the short, correct?
Leroy Ball: Absolutely, but net, it still a benefit for us.
Unidentified Analyst : Okay, thanks. And then with the plant closure in West Virginia, what's your utilization rates going to be in the remaining two plants?
Leroy Ball: I think in the remaining two plants, they are probably put the soft, probably somewhere in the – I call it mid-80’s range something like that.
Unidentified Analyst : And I mean just longer-term that you think what you I mean, where would you get on, where you are heading toward you might be using a limit, it was be like north of 90 or, just a little color.
Leroy Ball: Yes, I mean I don’t think. I would love to find ourselves in that position at some point in the future. But I think that, I don’t think we’re going to have any issues in terms of worrying about running out of capacity at those remaining two occasions. And certainly, if we got to that point, we look it again how we could possibly de-bottleneck some of the inbound unloading to help free that capacity. Yes, that’s really been the restriction in the bottleneck for us. It’s not too much on the treating and it’s more on the unloading.
Unidentified Analyst: Got you. Thanks. And then finally just, you’re doing, you seems like you’re ahead of schedule with the debt reduction of plan, would that mean that, that asset sales are not as important now or that I mean, I just wondering what we’re with that and?
Leroy Ball: We are still pursuing some things there, we are not point, were we can talk about it or announce anything that the couple that are probably more imminent or relatively modest in terms of the contribution they would almost be more for us, just an elimination of businesses that probably or more distraction then anything else, and so I don’t look at those is being, big cash contributors there is one particular business they could provide a meaningful addition to cash, and we are still going down that path. So we’re hoping to execute on a few of this year over the next couple of quarters, but only one really would have some, kind of some of a meaningful impact on the cash situation, the other couple are relatively small.
Mike Zugay: I think we’ve mentioned before the accumulation of all three of those are some where in the $20 million to $30 million cash range.
Unidentified Analyst: Okay, thank you guys.
Operator: And will now take our next question from Liam Burke with Wunderlich.
Liam Burke: Thank you. Good morning, Leroy.
Leroy Ball: Hi, Liam, how you doing?
Liam Burke: Good, thanks. Osmose rail services, how is that integrating with the rest of the business, and you are seeing growth there?
Leroy Ball: Well, it’s probably, I certainly can’t say they were seeing growth, yet is a result of folding that into our business, its still early for that, we just talking to few of the people and that business segment just the other day, and talking about how we are planning on and making some joint sales cost and stuff like that, they actually interface with a little bit different part of the Class I, that what we do today. But what it does, it allows us to kind of bring our two businesses together and provide more exposure across the Class I – Class I network. The business itself were expecting, it is going to be pretty much in line with what they have done over past couple of years, except for some additional benefit as a result of kind of some backlog as sort of synergies. But from a sales standpoint we never really modeled in our expectations a big jump in synergistic sales and profits from bringing the businesses together we kind of hold that out, is something that we think could be achievable, but we didn’t want to put that in our expectations for something that we needed to hit in order to kind of hit our return metrics. So I think we’ll see out of the next year or so kind of where things head I would hope to be able to stay here a year from now that – having own them for a year and a half. We are starting to see some of those benefits but as of right now it still look too early.
Liam Burke: Okay. And with the borate-treated ties how do you see the – I mean with them being able to last longer in the trackbed how do you see the trend of the business?
Leroy Ball: Well, we don’t see certainly any real impact in the short-term and by the short-term I’m talking next five to seven years this is extending the life of ties in a certain segment of their network. They are using the most of the Class I, at this point we are using here across the entire network. And so for the ties that are already in spots of the U.S. or North America where we’re already getting extended tie lives not sure of what benefits is really bring into them because in most cases those tie will probably were out do the mechanical where before they do of a decade. But so this is in a case where – because we are treating 100% of their ties with this borate technology that is necessarily extending 100% of the tie life in that network and therefore going to have an impact all across the network moving forward. It is only for certain portion we think of the overall Class I network and is still several years down the road I think before you see really any of that impact flowing through volume wise.
Liam Burke: Great. Thank you, Leroy.
Leroy Ball: Okay.
Operator: And we’ll now take our next question from Steven Schwartz with First Analysis.
Steven Schwartz: Hi, good morning gentlemen.
Leroy Ball: Hi, Steve.
Mike Zugay: Hi, Steve.
Steven Schwartz: If I could start with some a continuation of the response you gave to Bill on KJCC…
Leroy Ball: Yes.
Steven Schwartz: So with Nippon steel right now you are selling everything into the merchant market…
Leroy Ball: Yes.
Steven Schwartz: And in your mind overtime how – what is your expectation for 100% in the merchant market then transitioning to 0%. Does that happen in 2016 across 2016 or is it 2017, what do you think?
Leroy Ball: It’s certainly dependent upon when Nippon gets up and running, if they get up and running here in the third quarter of this year then we’ll be serving them throughout 2016 for all their needs, so basically only what we would be selling into the merchant market at that point would be the chemical stream, which we’ve already intended to because they won’t be using that part of the output and whatever is remaining over and above the volumes that they would need to take. So you are talking about probably something in the neighborhood of, call it 60% to 70% would be going into Nippon in 2015, which will be the normalized level moving forward, but its all depended upon when they get their plant up and running.
Steven Schwartz: Yes, and so it sounds to me like you think there is a reasonable probability not a guarantee, but a reasonable probability that they get things ramped up by the end of this year?
Leroy Ball: Yes, Steve, I would say that – I’d take at this point to say anything related to this venture because it is continue to extend and I know that the needle coke market is and has been in a depressed state here, as of late, so I'm sure that Nippon is not excited to bring that plant up, how much of what is going on is being driven by the Chinese Government versus the Nippon taking a little bit of our loss fear towards bringing the plant up. It’s hard for us to tell, they are saying all the right things but we haven’t seen to this point, the permits and therefore they haven’t been able to bring the plants up. So I don’t know say anything about that joint venture at this point in time and honestly…
Steven Schwartz: Okay.
Leroy Ball: I’m quite frankly little bit frustrated with it.
Steven Schwartz: Okay, that’s understandable. When you say 60% to 70% in Nippon, what is the 30% to 40% that would continue to go into the merchant market?
Leroy Ball: That will be 100% of the naphthalene and some remaining carbon pitch/carbon black feedstock that are over above their requirements.
Steven Schwartz: You mentioned the pitch right now, where are you selling that pitches, is it in the China or is it going all the way to Middle East?
Leroy Ball: Right now, it is in China, but we are having that facility approved with our Middle Eastern customers. So we are going to the approval process to be able to export from that facility.
Steven Schwartz: Okay, which could mean a little bit of a better margin, it sounds like?
Leroy Ball: Yes.
Steven Schwartz: Okay. And then if I could, my last question relates to Railroad and in your commentary you expressed the ceratin amount of risk above perhaps the second half of the year around coal, you know my experience with those Class 1 in going to their conferences and as everything you’ve said they pretty much set the budget and I think even in the past, you guys have talked about how steady their spending tends to be. So I guess number one, I’m wondering why it feel like there is a potential for downturn in spending already this far into the year, number one. And number two, if you are calling out coal, is there something with the specific customer because I’d once expect you to call out crude by rail and the risk?
Leroy Ball: Sorry, if I created any confusion over those comments. From my standpoint, Steve, I think we can tell upon us obviously to talk about the issues that could potentially impact the numbers that we’re projecting as it relates to the rail business we feel overall pretty good about it. Obviously with the recent historic performance we’ve had. We’ve talked about crosstie procurement being a significant over the last year, year and a half. As I said here today, I’ve gained more, more confidence there. So I guess as I – if I need to look at a potentially black cloud on the horizon, it is the Class 1 at some point just started to slowdown their treatment. I agree with you, we’ve always had pretty good visibility into their numbers. And they traditionally do set their budgets in whole term. But if there is anything I guess at this point in that business that has been going so well that would cause me a concern. Not so much to crosstie procurement anymore. It is just to say it would just decide to just slow things down a little bit. And so I just wanted to point it out but certainly didn’t mean to alarm anybody with it.
Steven Schwartz: Okay, sounds good. Thanks.
Leroy Ball: Sure.
Operator: We’ll now take our next question from Kevin Hocevar with Northcoast Research.
Kevin Hocevar: Hey, good morning everybody.
Leroy Ball: Good morning.
Kevin Hocevar: Wondering if – sort of oil impacts on the CMNC business, I thought it clawed the debt what you’re expecting or modeling $50 a barrel oil for that. So just wondering if it stays at $60 a barrel kind of around where it is today what’s sense of stability as I mean we are looking at that $20 million to $25 million impact EBITDA, the $30 million to $35 million – so if you could get with the sensitivity to that.
Leroy Ball: Yes, it’s probably in the neighborhood around $5 million bucks.
Kevin Hocevar: Okay. And on the falcon hydride portion, you’d expect a small bump, did you – the one competitor dropping out of the equation. I was wondering if you add, I think you put $3 million of EBITDA as a result.
Leroy Ball: Yes.
Kevin Hocevar: Why don’t if you can? I’m sure you can say, everything that’s you’re modeling to get to that but – are you expecting that largely to be broken up in certain percentage between you and your remaining competitors domestically or you’d expecting some imports to come into and soak up some of that demand. Why don’t you if you can get me whatever you can around tie expecting to get there? 
Leroy Ball: Sure. I mean I think that certainly imports could take a part of that demand. Certainly the other competitor remaining in this market you would expect will take up some of the demand. I think logically, it probably will be split three ways amongst as of the other domestic competitor and some imports. But I do think that a lot of this will remain domestic at least we feel pretty confident in that. So that’s the part of the specific is that going to be.
Kevin Hocevar: Sure. And then I guess is that largely a back half number than you would expect to get that in the front half of next year as well as the benefit?
Leroy Ball: We would expect to do that. Yes.
Kevin Hocevar: Okay, alright. Thank you, very much.
Leroy Ball: You’re welcome.
Operator: And we’ll now take our next question from Chris Shaw with Monness Crespi.
Chris Shaw: Yes, good morning, gentlemen. How’re doing?
Leroy Ball: Hi, Chris.
Mike Zugay: Yes.
Chris Shaw: Steve, just curious what products are generating negative EBITDA margin at this point. It just mostly the North American product will that include pitch in North America as well or?
Leroy Ball: I’m not going to comment on specific EBITDA margins within the products segments. We don’t disclose that information just to say if you would take the overall CMC business and lay it out from a regional standpoint. At this point, we are being hurt more in North America than any other region. But next probably in China and then followed by Europe and Australia is actually doing fairly well, which is I don’t actually talk about overall. But CMC because of the nature of that business model where you have the phthalic anhydride that is using for us, a good portion of our naphthalene feedstock and our inability to really move pricing on the raw material that produces that naphthalene. We get squeezed quiet a bit in North America with not a lot of ability to kind of pointing that back on raw material. As I talked about several times in Europe and China, you do have much more of that ability to do that and we’ve already seen that and experienced it. And it’s been a little bit better in Europe and in China. And so, that’s sort of how it breaks down, but Australia is doing well, North America is probably on the other end of the spectrum and Europe and China are somewhere in between.
Chris Shaw: Okay. And then on pitch itself, have any sort of the more recent smelter rationalization announcements have they impacted your volumes at all or will – potentially will impact your volumes…
Leroy Ball: Our volumes have remained pretty much in line with our expectations. So we don’t expect to see a big change in our volumes of pitch, certainly out over the next year or two as we see it today.
Chris Shaw: And then if I could ask a question on the KJCC. I know the economics there initially versus the – I don’t say guarantee, but I thought there was a built-in margin or built-in pricing, was that right and if so…
Leroy Ball: That’s correct, yes.
Chris Shaw: Does Nippon have any ability to renegotiate that I mean I would assume that there might be more attractive merchant options for them…
Leroy Ball: Yes.
Chris Shaw: Are they allowed to sort of squeeze at all at this point?
Leroy Ball: Yes, I think there is always an ability to negotiate any – renegotiate any contract. So, yes, I mean that’s really all I can tell you about that.
Chris Shaw: Okay. And if I could one more rail and just on the contracts you’ve signed, I can’t remember, did you announced one of the – I know – I should place in detail but where the contracts renewed as current prices or where they higher or lower or…
Leroy Ball: We can’t really speak to pricing, but overall, when you take those contracts in total, they will continue to be at or better than our margins within those business lines. And then primarily, due to the fact that again, we got plant rationalization with one and we got some additional business through adding some capital into the other.
Chris Shaw: Great, thanks. That’s very helpful.
Leroy Ball: You’re welcome.
Operator: [Operator Instructions] And with no further questions in the queue, I’d like to hand it back to Leroy Ball for any closing remarks.
Leroy Ball: Thank you. I hope that our shareholders were able to see the positive developments that have occurred throughout our business so far in the early going of 2015. I know that we’re excited about where we believe we can take the company and we remain committed to do so. So we thank you for your participation in today’s call and appreciate your continued interest in Koppers. Thanks.